Operator: Good day everyone and welcome to Charles River Associates Conference Call. Today’s call is being recorded. Today’s release is posted on the Investor Relations section of CRA’s website at crai.com. With us today are CRA’s President and Chief Executive Officer, Paul Maleh; and Chief Financial Officer, Chad Holmes. At this time, I would like to turn the call over to Mr. Holmes for opening remarks. Please go ahead, sir.
Chad Holmes: Thank you, Rob. I'd like to remind everyone that the statements made during this conference call affirming guidance on historical preliminary financial results for fiscal 2016 or concerning the expected time for filing our annual report on Form 10-K for fiscal 2016, guidance on future non-GAAP revenue and non-GAAP adjusted EBITDA margin for 2017, and any other statements concerning the future business, operating results and financial condition of CRA including those regarding any effects of our acquisition and integration of substantially all of the assets and consultants of C1 Consulting or using the terms looking ahead, expect, believe, anticipate, continues, estimate, should or similar terms are forward-looking statements as defined in Section 21 of the Exchange Act. Information contained in these forward looking statements is based on management's current expectations and is inherently uncertain. And actual performance and results may differ materially from those expressed or implied in these statements due to many important factors. Additional information regarding these factors is included in today's release and in CRAs periodic reports with the SEC. CRA undertakes no obligation to update any forward-looking statements after the date of this call. Additionally we will refer to some non-GAAP financial measures on this call including adjusted EBITDA and certain measures presented on a constant currency basis. Everyone is encouraged to refer to today's release for a description of the process for calculating adjusted EBITDA and the measures presented on a constant currency basis. Let me now turn it over to Paul for his report. Paul?
Paul A. Maleh: Thanks Chad and good morning everyone. Earlier today we announced preliminary performance metrics for fiscal 2016 and the postponement of the release of our fourth quarter and fiscal 2016 financial results. The postponement will allow CRA and our independent registered public accountant’s time to complete additional substantive testing as a result of the accountant audit work and review of our internal controls to-date. We expect to file our annual report on Form 10-K on or prior to the filing deadline of March 16, 2017. The delay in announcing our fourth quarter and year-end 2016 financial results should not diminish CRA's strong fourth quarter and full-year 2016 performance. For fiscal 2016, we reaffirm our expectation to exceed the high-end of our previously announced constant currency revenue guidance and be in the upper half of our previously announced constant currency adjusted EBITDA margin guidance. We expect to report strong revenue growth and double-digit growth in net income, earnings per diluted share, and adjusted EBITDA demonstrating our ability to generate profitable growth while delivering enhanced shareholder value. For the year, we have returned more than $20 million back to our shareholders through share repurchases and the initiation of a quarterly dividend. In the fourth quarter of fiscal 2016, we continued to experience broad based demand within our legal regulatory and management consulting lines of business. Further highlighting the strength of our portfolio, despite strong currency headwinds, we expect to report that our international operations grew more than 10% year-over-year led by our anti-trust and competition economics, life sciences, and Marakon practices. And legal regulatory, anti-trust, and competition economics had a strong fourth quarter. CRA experts advised a U.S. based consumer marketing provider throughout an anti-trust case involving allegations of anti-competitive bundling of in-store advertisements. Our consultants also worked on a federal class certification case involving differential wholesale pricing to certain classes of customers in the energy drink industry and advised on an anti-trust litigation involving a large hospital system. Our energy practice continued to perform well. The team advised large investors in gas pipelines and energy infrastructure on their investment strategy. In addition, the practice worked with one of the largest U.S. utilities on regulatory issues related to market power and mergers. Demand for forensic services also continued to build. Regulatory expectations in terms of responses, notifications, and disclosures related to data breaches, trade secret theft, and other misconduct are creating even greater pressure on corporations resulting in growing demand for our investigation services. Our work has expanded in the healthcare and financial services sector in particular. For example, in the fourth quarter, we were hired by a healthcare provider to investigate a potential breach of data incident. We were also hired by a financial services software company to investigate a theft of trade secrets. Within management consulting, clients continued to turn to Marakon for expert advice on business portfolio strategy in order to drive sustainable enterprise growth. In the fourth quarter, we were engaged by a large European bank to help the client's retail bank division, transform the organization, putting the customers at the center of all strategic and operational decisions. Marakon also deepened and expanded its relationship with the global consumer healthcare company refining the company's strategy and laying the groundwork for its execution by incorporating priority opportunity areas into its strategic plans and commitments. In January, we announced the acquisition of C1 Consulting, a life sciences strategy consulting firm that helps pharmaceutical and biotech clients maximize their business potential through the development of highly tailored commercialization strategies based on advanced analytics, customer insights, and therapy area expertise. The investment continues a disciplined and balanced capital allocation strategy to drive long-term shareholder value. We have demonstrated success in growing our portfolio and are excited to capitalize our increasing demand for our life sciences services with the addition of these new colleagues. The integration of C1 will enhance our capabilities in advanced analytics and market research as well as broaden our commercialization strategy offering, particularly relating to rare and orphan diseases. The expansion of our team also enables CRA to serve a broader array of client needs, an increase of geographic presence with new offices in San Francisco, California, some in New Jersey and Lucerne, Switzerland. We are delighted to welcome the entire C1 team to CRA and look forward to their contributions. In total, C1 Consulting brings to CRA 86 new colleagues including 84 consultants. For calendar year 2016, the business generated approximately $22 million of net revenue on an unaudited cash basis. We expect the addition of C1 to be accretive to earnings in fiscal 2017. Looking ahead we are encouraged by the balanced performance of our portfolio and look to build on our strong momentum. For full year fiscal 2017, including the expected contributions from C1 Consulting, on a constant currency basis relative to fiscal 2016, CRA expects non-GAAP revenue in the range of $350 million to $360 million and non-GAAP adjusted EBITDA margin in the range of 15.8% to 16.6%. While we are pleased with CRA's strong performance in 2016 and the recent acquisition of C1 Consulting, we remain mindful that short-term challenges arising from the integration of new colleagues and uncertainties around global economic and political conditions can affect our business. With that, I will turn the call over to Chad for a few additional remarks. Chad.
Chad Holmes: Thanks Paul. Before we get to your questions let me highlight a few additional metrics related to our fourth quarter and full year 2016 performance. Please note that the following comments do not include the effects of the recently announced acquisition of C1. We ended the year with 540 consulting staff which consisted of 119 officers, 270 other senior staff, and 151 junior staff. This is a net increase of 29 consultants or approximately 6% growth from the 511 total consulting headcount we reported at the end of fiscal 2015. We concluded fiscal 2016 with $53.5 million in cash and cash equivalents. This is more than double the amount of cash we reported as of the end of the third quarter of fiscal 2016 and represents a 40% increase or approximately $15 million relative to the end of fiscal 2015. As Paul mentioned, during 2016, we returned more than $20 million to shareholders through our stock repurchase program and the initiation of a quarterly dividend. This was comprised of $1.2 million of dividend payments and $19.1 million of share repurchases of approximately 784,000 shares. As a reminder in the fourth quarter we paid a quarterly cash dividend of $0.14 per common share. Today we announced that our Board of Directors declared a quarterly cash dividend of $0.14 per common share payable on March 17, 2017 to shareholders of record as of February 27, 2017. As mentioned on prior earnings calls. We have been transitioning our real estate portfolio over the past couple of years to create a more efficient and cost effective work place. The conclusion of our London build out brings an end to this real estate transition period that touched four of our five largest offices. For a full year fiscal 2016 real estate investments totaled approximately $9 million net of tenant improvement allowances. To summarize our firm is financially strong and we are generating excellent cash flows. We increased our cash balances by approximately $15 million year-over-year while investing approximately $9 million in our office build outs and returning more than $20 million back to our shareholders through share repurchases and a quarterly cash dividend. That concludes my prepared remarks. Rob we would now like to open up the call for questions.
Operator: [Operator Instructions]. Our first question comes from the line of Tim McHugh with William Blair. Please proceed with your questions.
Timothy McHugh: Yes thanks. I guess just on the delay here, what took longer than expected, why the delay versus I am assuming you obviously kind of expected it to be done otherwise before today?
Paul A. Maleh: Yeah, that was our expectation. We were looking forward to sort of putting a bow on what has been a really strong 2016. I guess to get a little technical the inability to rely on controls in certain areas of the audit required additional testing of detailed transactions to ensure that there are no material errors in our financial statements. What we tried to do today in today's announcement is provide you with information that was largely outside the scope of the audit review and hopefully provide everyone with insights and assurances regarding the company's overall performance. None of the testing changes again the strong performance delivered by the firm throughout 2016, and as Chad highlighted, the cash flow generation of the firm.
Timothy McHugh: Okay and then just on C1, so 22 million of revenue, is it similar margin and what did you guys pay again for it?
Paul A. Maleh: So C1's 2016 on a non-audit cash basis, revenue was about $22 million. The leverage structure is different than CRAs, so the revenue for heads are going to be a little different. And also the services introducing the analytics product has a very different margin structure that I think greatly enhances the services not just within C1 but within our life sciences practice and hopefully CRA as a whole in the quarters ahead. With respect to whether it's increased margin of CRA, we're not providing that information. What I can tell you is it's going to be accretive to CRA so we're expecting contributions from that entity from the onset. C1 is included in the margin expectations for 2017 when I provided the 15.8% to 16.6% adjusted EBITDA range. With respect to the financial terms of the engagement, no details on that have been or we expect to provide to the investors.
Timothy McHugh: Okay and then just I guess if I layer in C1 and if I just assume that kind of revenue number it would seem, correct me if if am wrong, kind of implies kind of like a 4% growth rate excluding C1 that you're embedding for next year which I think is lower than I guess you delivered this year, is there a conservatism, is there anything that you're seeing differently I guess in the marketplace, I guess talk about the organic growth expectations that are embedded in there?
Paul A. Maleh: You know CRA over the last three years has delivered stronger growth rate as anyone in our industry in our sector. So we're proud about the performance and growth in any given year captures sort of organic. You know pursuits and in organic opportunities that we have taken advantage of, there's clearly some currency headwind we're facing. We hope to exceed the expectations. But overall we're going to deliver a rather robust total growth rate that's been commensurate with that of years past. It's great when you get the kind of growth that we've had in 2016 that was almost entirely organic. We're working hard to strive to that but, long term we want to be delivering sort of mid-single-digit growth rate with majority of that growth to be driven by organic opportunities.
Timothy McHugh: Okay, great. Thank you.
Paul A. Maleh: Thanks Tim.
Operator: The next question is from the line of Marc Riddick With Sidoti & Company, please proceed with your question.
Marc Riddick: Good morning. I wanted to touch on the additional consultants coming over from C1, I was wondering if you could sort of share with us kind of a breakdown of that group maybe from a general seniority perspective and then maybe some follow-up after that?
Paul A. Maleh: What I can tell you is that there were five senior partners that was part of the C1 acquisition disclosure and then so their leverage structure is much more levered than CRAs delivery if you want to look in terms of Vice Presidents relative to non Vice President consulting staff. So the five individuals are the only Vice Presidents who have been integrated in to the CRA consulting staff structure. So again it's a much more deliberate offering. And a large part of that is driven by the analytics portion of the firm.
Marc Riddick: Okay, I see and then if you can sort of maybe share a little bit, you did touch on some of the international growth delivery and some of the drivers there, I was wondering if you could touch a little bit on some of the commentary that you had there and add a little bit more there on the antitrust and competitive economics, I mean you did touch on this a little bit, but I want to get a sense of A) sort of maybe what you see going forward there and B) you touched a little bit on the currency impact, I was wondering if there's a way to quantify what we’re potentially looking at for 2017?
Chad Holmes: You know every time we try to give any kind of currency expectation, we seem to have been short in the past three years. I think what we are very impressed with in terms of international operations is despite the currency headwinds that we have been seeing, they are growing year-over-year and are growing substantively. That growth is really driven by three main areas and that is our antitrust competition economics offering in Europe, it's life sciences practice which is continuing to grow their European presence, and that of Marakon. Those are the three primary drivers. We have faced over the last three years probably close to $20 million of foreign currency headwinds. So with respect to expectations, I'm just sort of looking at what general market expectations are there in 2017. It's hard to imagine it's going to go much lower but expectations are that it will, relative to what we have experienced in 2016. So I commend my international colleagues to deliver double-digit revenue growth in light of that has been quite impressive.
Marc Riddick: Okay, and then you may have mentioned on the year-end staff level, I believe it is basically about flat versus where it was at the end of 3Q correct to round about 540 or so, excluding what you're bringing on with C1, can you sort of share maybe some thoughts as to where we might see the staff growth in 2017 excluding the acquisition?
Paul A. Maleh: Sure. First the snow will surprise that headcount growth is largely constant between Q3 and Q4. The additions of headcount that we experienced during the second half of the year are organic. These are our additions from undergraduate and graduate school hires, the vast majority of those individuals who join us during the July, August, September time period. And thus what we have experienced is relatively flat from Q3 to Q4. Probably looking ahead we are expecting sort of mid single-digit net organic headcount growth into 2017. Something roughly to commensurate with what our long-term revenue aspirations are on an organic basis.
Marc Riddick: With basically a general seasonal pattern similar to what we've seen in the past?
Paul A. Maleh: Probably. Yeah, you know it's always hard to put a hard figure on what we rather call secondary market hires on that but the majority of professionals joining, consultants joining CRA happened during Q3 and Q4 of each fiscal year.
Marc Riddick: And it doesn't seem as though there was any outsized amount of retirees or anything like that at the end of the years is that correct?
Paul A. Maleh: I've been thrilled with our attrition rates at the firm. I think that speaks a lot to the kind of momentum that has been building. We’re an attractive place to be. So you know we’re attractive to people in the secondary market that are looking for new consulting homes and what I'm most proud of is my colleagues here are finding great opportunity for growth within our organization. So we have had practically no turnover at the revenue generating ranks over the last handful of years and 2016 was no different. So we're very pleased with the attrition rates of our company and are going to work hard into 2017 and beyond to maintain that.
Marc Riddick: Okay, great. Thank you very much.
Paul A. Maleh: Thank you.
Operator: Thank you. The next question is from the line of John Lewis with Osmium Partners. Please proceed with your question.
John Lewis: Good morning Paul and Chad. First congratulations on very, very solid results. A year ago I was a more vocal critic of the company but I want to let you know I feel like you guys have done an exceptional job with the C1 acquisition. The results are very, very impressive so well done. I guess my first question is around you Chad you discussed that you’ve gotten most of the real estate refurbishments behind the company, can you give any kind of ballpark range of where CAPEX could be for the year?
Chad Holmes: John, this is Chad. Yes. As we've summarized the bulk of the larger offices are behind us. Of course we have smaller offices that periodically we need to either refurbish or move along. I think over the long run you've seen the CAPEX around $4ish million in steady state and then that gets supplemented when there are additional or new developments that appear. So I take $4 million or so on a run rate basis is a baseline that you could start with.
John Lewis: Got it, okay, so that I mean if it's 4 million obviously or it is 2017, 2018 or the last two years if that's going to be obviously a significant boost, so that's great. Okay, look the call was helpful and we follow the company closely so thanks again for the call today and we’ll talk soon.
Paul A. Maleh: Appreciate it John. Thanks John. I mean I guess the one thing I want to call out to all investors is John was quite vocal last year but John really helped us to make our communications as to the strategy of this firm a little more transparent. And I think that is starting to resonate with our investors, is our commitment to try to maximize the long-term value per share for our shareholders. And we're going to continue to strive to execute on that strategy so, thanks for the kind words John.
Operator: Thank you. At this time I'll turn to floor back to Mr. Paul Maleh for further remarks.
Paul A. Maleh : Again thank you everyone for joining us today. I want to reiterate that we expect to file our annual report on Form 10-K on or prior to the filing deadline of March 16, 2017. We appreciate your time and interest in CRA and we will work hard to justify your interest. That concludes today's call. Thank you everyone.
Operator: Thank you. You may disconnect your lines at this time. Thank you for your participation.